Operator: This call is being webcast and can be accessed on the Investors section of our website at investors.chargepoint.com. With me on today's call are Rick Wilmer, our Chief Executive Officer, and Mansi Khetani, our Chief Financial Officer. This afternoon, we issued our press release announcing results for the quarter which ended April 30, 2025, which may also be found on our website. We would like to remind you that during the conference call, management will be making forward-looking statements including our outlook for the second quarter of fiscal 2026. These forward-looking statements involve risks and uncertainties, many of which are beyond our control and could cause actual results to differ materially from our expectations. These forward-looking statements apply as of today, and we undertake no obligation to update these statements after the call. For a more detailed description of certain factors that could cause actual results to differ, please refer to our Form 10-K filed with the SEC on March 28, 2025, and our earnings release which was posted today on our website and filed with the SEC on Form 8-K. Also, please note that we use certain non-GAAP financial measures on this call, which we have reconciled to GAAP in our earnings release and for certain historical periods in the investor presentation posted on the investor section of our website. Finally, we will be posting a transcript of this call to our investor relations website under the quarterly results section. Thank you. I will now turn the call over to our CEO, Rick Wilmer.
Rick Wilmer: Good afternoon, and welcome to ChargePoint Holdings, Inc.'s first quarter fiscal 2026 earnings call. Today, I will walk you through key results for the quarter, provide insights into recent market and policy developments, and highlight the progress we have made on our two major priorities for the year: delivering innovation and driving growth. In addition, I will cover two significant announcements that directly support these priorities and positively influence ChargePoint Holdings, Inc.'s path to achieving positive non-GAAP adjusted EBITDA in a quarter of this fiscal year. Let's begin with our Q1 financial results. Revenue for the first quarter came in at $98 million, right within our guidance range. Non-GAAP gross margin continues to increase quarter over quarter, reaching a new high of 31%. Notably, our SaaS subscription gross margin climbed to a record 60%, underscoring the strength of our SaaS-focused business model. We built momentum across the business in Q1. Our DC fast charging program with General Motors has been a success, with the pace of site openings accelerating and over 500 additional ports signed off by GM for deployment. We extended multiple agreements with Mercedes-Benz, reinforcing our long-term relationship. Our theft-resistant charging cable was met with strong market interest and will go into production this summer for our own hardware models. Deenergized, our software management solution for CPOs, is now actively managing over 700 charger models from over 85 different vendors of charging hardware. This is a testimonial to the scale of our third-party hardware integrations. In total, ChargePoint Holdings, Inc. now has over 352,000 ports under management, of which more than 35,000 are DC fast chargers, and more than 122,000 are located in Europe. With our roaming partnerships, we enable access to more than 1.25 million charging ports globally. Our business is proving to be resilient on the top line despite US macroeconomic conditions and market uncertainty, as well as the bottom line through the cost and operational actions we took last year. Looking ahead regarding US tariffs on our products, expect only a minimal increase in the cost of goods sold. Also, expect cost reductions to exceed the impact of the current tariffs. Therefore, we still expect margin improvement later in the year. The limited impact reflects the swift and effective execution of our mitigation plan. We see positive momentum on two fronts: one, EV adoption, and two, utilization rates. EV adoption continues on a steady upward trajectory, a trend which has held for more than a year. Despite political turbulence dampening consumer and capital spending, North American EV sales were up 16% year over year for Q1 according to Rimotion. In Europe, EV momentum rebounded strongly with the same data set reporting 22% EV sales growth year over year for Q1, a significant surge. The European Green Deal mandates all new cars sold there be zero emission by 2035, reinforcing the EU's trajectory of EV adoption. All of this forms a strong leading indicator for the charging industry. The trends we observed last quarter remain intact. The market is actively planning and inquiring, but widespread purchasing is being impacted by economic uncertainty. Inevitably, with more EVs on the road, existing infrastructure is under mounting pressure. A recent report by Perin Data concluded that many US cities are approaching maximum charge utilization during peak hours, with five major markets past or approaching a staggering 40% utilization rate. This strain is a positive signal for our customers who monetize charging, but it is a growing concern for EV drivers facing long waits at occupied stations. We believe this will lead to the installation of more chargers, and ChargePoint Holdings, Inc. will be ready to capitalize on that demand. Despite the growth to come, the market has recently seen attrition and the voluntary exit of major players, even Chinese competitors coming under the scrutiny of the federal government. These developments, while natural for a new industry at our stage, create a meaningful opportunity for ChargePoint Holdings, Inc. to gain market share. We are not waiting for the growth to come to us; we are actively pursuing it. This brings me to the most exciting announcement of the year so far: our new partnership with Eaton, one of the world's largest intelligent power management companies. The cornerstone of this partnership is innovation, which will drive growth. Our goal is to make electrified transportation simple and economically a no-brainer. Charging deployments are increasingly complex, with a significant portion of them requiring grid upgrades. So we are integrating charging and electrical equipment into a single solution which addresses a major gap in the market. Together, ChargePoint Holdings, Inc. and Eaton will deliver EV charging, electrical infrastructure, energy management, and engineering services as the market's only end-to-end EV charging and power management solutions. These fully integrated solutions will get our customers up and running faster, simultaneously lowering their costs, and are available for order now. The next phase of the partnership will offer co-developed future technologies to further drive down costs, improve efficiency, and advance bidirectional power flow technology to fully optimize V2X capabilities. This will enable customers to use EVs as another distributed energy resource they can integrate into their energy infrastructure to help power operations. The first innovations from this effort are set to be announced in September. So what does this do for ChargePoint Holdings, Inc.'s business? In addition to a compelling and highly differentiated offering, we now have access to Eaton's formidable go-to-market engine, which does nearly $25 billion in annual sales across more than 160 countries. We anticipate that the relationship will drive incremental revenue growth for ChargePoint Holdings, Inc. This partnership cements ChargePoint Holdings, Inc. as the enabler of the entire EV ecosystem, from the grid to the dashboard of the vehicle and everything in between. Our second major announcement of the quarter, once again aligned with our goal of delivering innovation, was the announcement of our new AC hardware architecture. This is the first product line developed utilizing our lower-cost co-development structure and will enter the market at a highly competitive price point while still increasing our margins. This new architecture underpins a range of upcoming models that will roll out over the next year, serving home, commercial, and fleet use cases. These products will represent a major portion of our hardware volume. By bringing a generational leap in our technology to market at an affordable price point, we anticipate greater volume in the US, where we have the number one AC market share and considerable market penetration in Europe, where we have not had a product in this category to date. The first charger, part of our European take-home fleet solution, is expected to begin production in July. Growth and innovation remain the year two priorities of our strategic plan, and we are making progress on both. We entered year two ahead of schedule, positioning us to realize the benefits of our streamlined cost structure and revitalized product portfolio in year three. Our partnership with Eaton unlocks immediate growth opportunities by combining our EV charging leadership with their complementary solutions and their commercial scale. Our new AC hardware architecture is the first of several high-impact innovations planned for this year, designed to expand market share, drive volume, and improve margins. Combined with our operational excellence, we are laying the groundwork for meaningful financial upside as the year moves on. I will now turn the call over to our CFO, Mansi Khetani, to cover our financials in more detail.
Mansi Khetani: Thanks, Rick. As a reminder, please see our earnings press release where we reconcile our non-GAAP results to GAAP. Our principal exclusions are stock-based compensation, amortization of intangible assets, and certain costs related to restructuring and acquisitions. Revenue for the first quarter was $98 million, within our guidance range. Network charging systems at $52 million accounted for 53% of first-quarter revenue. This was almost flat sequentially despite Q1 typically experiencing a seasonal dip and was down 20% year on year. Subscription revenue at $38 million was 39% of total revenue, essentially flat sequentially mostly due to fewer days in Q1 which impacts prorated revenue recognition, and up 14% year on year due to the recurring revenue generated from a higher installed base. Other revenue at $8 million was 8% of total revenue, down 31% sequentially and down 8% year on year. Other includes various revenue items which tend to be lumpy and was significantly lower this quarter primarily as a result of lower one-time project revenue which is recognized based on completion rate. Turning to verticals, which we report from a billing perspective, first-quarter billings percentages were commercial 71%, fleet 13%, residential 12%, and other 3%. From a geographic perspective, North America made up 85% of revenue, and Europe was 15%. Europe was lower than normal, due largely to weakness in Germany. This was partially made up in North America, which was slightly higher compared to last quarter even though the first quarter is typically seasonally lower and despite significant macroeconomic headwinds. Non-GAAP gross margin was 31%, improving by one percentage point sequentially and up seven percentage points year on year. This is attributable to higher margins in both hardware and subscription, as well as subscription revenue growing as a percentage of total revenue. Hardware gross margin increased sequentially despite the impact of incremental tariffs and freight incurred in Q1. Subscription margins reached a record high of 60% on a GAAP basis and were even higher on a non-GAAP basis due to economies of scale and continued optimization of support costs. Based on currently available information, we expect the financial impact of tariffs on our COGS to remain minimal and expect gross margins to continue around the current range and to further improve later in the year. Non-GAAP operating expenses were $57 million, up 9% sequentially and down 15% year on year. As mentioned previously, this quarter's OpEx included the impact of annual raises and investments in certain key areas of the business. We will continue to manage OpEx closely. Non-GAAP adjusted EBITDA loss was $23 million. This compared with a loss of $17 million in the prior quarter and a loss of $36 million in the first quarter of last year. Stock-based compensation was $18 million, up from $15 million in the prior quarter and down from $22 million year on year. Our inventory balance increased by $3 million due to the impact of foreign exchange rates on inventory held by our international subsidiaries. However, we saw a decrease in inventory units across most products as we continue to sell through. We anticipate that inventory balance will reduce gradually throughout the year, helping to free up cash. Speaking of cash, we ended the quarter with $196 million in cash on hand. Q1 tends to be the quarter with the highest cash usage due to the timing of some large annual payments. We will continue to rigorously manage cash, and we have access to a $150 million revolving credit facility which remains undrawn. We have no debt maturities until 2028, and we have existing capacity on our ATM. Turning to guidance, for the second quarter of fiscal 2026, we expect revenue to be $90 million to $100 million. We are guiding with caution due to the continued changes in the macro environment, including tariff uncertainty, as well as our near-term focus on operationalizing our partnership with Eaton. While there is always a possibility of headwinds from deterioration in macro conditions, we expect revenue upside later in the year from the introduction of our new AC hardware that Rick outlined, better performance in Europe, and growth from our new partnership with Eaton. We continue to focus on revenue growth, gross margin expansion, and cost management to achieve our stated goal of being adjusted EBITDA positive in a quarter during fiscal 2026. We will now open the call for questions. At this time, I would like to remind everyone, in order to ask a question, please press star then the number one on your telephone keypad. We request that you limit yourself to one question and one follow-up. We will pause for just a moment to compile the Q&A roster. Our first question comes from the line of Colin Rusch with Oppenheimer. Your line is open.
Colin Rusch: Thanks so much, guys. You know, with this Eaton partnership and what you are seeing in terms of the market and the new AC product, can you talk a little bit about the pipeline of activity and how we should be thinking about a return to growth here on the top line for the new systems?
Rick Wilmer: Yeah. Thanks, Colin. I think there are a variety of forces at play, some positive, some causing caution. Obviously, the macroeconomic conditions, tariffs, and we are seeing some customers get conservative with spending in cash. There is obviously uncertainty around policies supporting the electrification of transportation, particularly in the US, which I think are also headwinds. On the other hand, we are very excited about our partnership with Eaton. We fully expect that to drive incremental growth, and there is a lot of work to do this quarter in particular to operationalize this relationship. We fully expect to hit our stride and have this, again, fully operationalized as we enter our fiscal Q3. So a variety of factors at play.
Colin Rusch: Okay. And then in terms of international expansion, you know, ex-Europe, is Eaton able to help you guys get into some incremental geographies where you have not been operating to date? And how should we think about the potential for the opportunity in Central South America, other parts of North America where you are not maybe fully loaded? You know, it seems like you have got pretty good coverage in the US and Canada, but maybe you are missing something. And then, you know, potentially places like Australia and others where you could see some incremental sales.
Rick Wilmer: Yeah. Eaton definitely has the capabilities to do that. At this point in time, we are focused on North America and Europe. We believe with the combined product portfolio, what we have to offer in Europe and North America, we have got plenty of TAM to address in those two geographies. But, again, the possibility definitely exists to penetrate new partnership.
Colin Rusch: Thanks so much. And then just a final one on the cadence of the inventory reduction, Mansi. Should we be thinking about that as kind of low single-digit millions, mid-single-digit millions, of inventory consumption on a quarterly basis? Just want to get a better sense of how to get that number on a trajectory basis and what is the right target for you guys in terms of the right inventory that you want to be carrying on an ongoing basis?
Mansi Khetani: Yeah. So, you know, obviously, there are a lot of factors that inventory balance will depend on. It depends on the mix of sell-through, the mix of production, etc. So all we can say right now is that we expect gradual reduction with a more meaningful reduction coming in the second half as we see revenue growth.
Colin Rusch: Okay. I will hop back in queue. Thanks, guys.
Operator: Thank you. Again, if you would like to ask a question, press star one on your telephone keypad. That is all the questions for today. Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.